Operator: Good day, and welcome to the Costamare Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Gregory Zikos, CFO. Please go ahead.
Gregory Zikos: Thank you, and good morning, ladies and gentlemen. During the third quarter of the year, the company generated net income of about $99 million. After the spin-off of Costamare Partners Holdings Limited, Costamare Inc. remains the sole shareholder of 69 containerships as well as the controlling shareholder of Neptune Maritime Leasing. In September, following up from our previously announced order of 3,100 TEU capacity containerships, we exercised our option for 2 more sister ships to be delivered in Q1 2028. Upon delivery, they will also commence an 8-year time charter with the first-class liner company. Since last quarter, we have also fixed 8 vessels with a forward start for periods ranging from 12 to 38 months. These transactions resulted in increased contracted revenues of about $310 million. Our fleet deployment stands at 100% and 80% for 2025 and '26, respectively. Total contracted revenues amount to $2.6 billion, with a remaining time charter duration of about 3.2 years. Regarding the market, the positive outcome from the latest trade discussion between U.S. and China and the delay in the implementation of port fees should positively contribute to global increased trade flows. Without the fleet of less than 1%, the charter market remains strong with rates fixed at healthy and stable levels on the back of vessel shortage and steady demand. Finally, with regards to Neptune Maritime Leasing, the growing leasing platform, 50 shipping assets have been funded or are committed and total investments and commitments are exceeding $650 million. Moving now to the slide presentation. On Slide 3, you can see our third quarter results. Adjusted net income was $98 million or $0.81 per share. Net income for the quarter was around $93 million or $0.77 per share. Our liquidity stands at about $560 million. Slide 4. We have concluded newbuild contracts for another 3,100 TEU containerships with expected delivery in Q1 '28, bringing the total number of newbuilding orders to 6. Upon delivery, each vessel will commence an 8-year charter with a leading liner company. On the employment side, we have increased our contracted revenues through new chartering agreements by more than $310 million. In addition, our revenue days are 100% fixed for '25 and 80% for '26, while our contracted revenues are $2.6 billion with a TEU-weighted remaining duration of 3.2 years. Moving to Slide 5. Regarding our financing arrangements, we have agreed to the pre- and post-delivery financing of our 4 newbuilding's. We have no major maturities till 2027. On the S&P side, we have concluded the acquisition of 6,500 TEU container vessel. Slide 6. On our leasing platform, we have invested around $180 million. NML has funded or committed to fund 50 shipping assets for a total amount of more than $650 million. Finally, we continue to have a long uninterrupted dividend track record. Moving to Slide 7, the last slide. Charter rates in the containership market remain at firm levels. The idle fleet remains at low levels at about 0.9%, indicating a fully employed market. With that, we can conclude our presentation, and we can now take questions. Thank you. Operator, we can take questions now.
Operator: [Operator Instructions] The first question comes from Omar Nokta with Jefferies.
Omar Nokta: Just a couple from me. Obviously, just looking at your chartering activity, you've been able to add a good amount of visibility forward fixing several ships. It looks like maybe an average of at least 2 years or so from what's on the -- from where they were before. But I just wanted to get your sense in terms of how has chartering activity in general sort of developed here over the past maybe couple of months because you've had obviously a very volatile year for, say, the underlying freight market where there's been huge swings upwards and downwards for freight rates. They bottomed about a month ago. Now they've jumped. Just want to get a sense from you, given just how active you are in the chartering market, have you noticed any shift in liner appetite? Have things changed here over the past several weeks? Any kind of color you can give on developments on charter it would be great.
Gregory Zikos: Sure. First of all, regarding the box rates, you are right. I mean, last week and last month in general, box rates have been up, especially on the U.S. West Coast trade route. Now regarding the charter market, there is a shortage of ships, especially larger vessels. So I mean, whichever ships come out, there are definitely candidates to have them chartered in. So still the market remains at very healthy levels. There is demand and ships are easily absorbed. And I think the main indicator, or someone needs to look at is the idle vessels, where if you back out any dry dockings or sort of technical issues, this is less than 1%. So less than 1% idle fleet means that practically we have a fully employed market. So -- and charter rates, in general, they are holding up very well. Now whether this will continue or not, and for how long, it's hard to say because we have a series of geopolitical events that might affect it. But for the time being, it is a healthy market. Liners are generally eager to charter in vessels. Now you can argue that probably they may not want to go for longer periods in general compared to the past. But still, you still see like a 2- or 3-year time charter for secondhand vessels on a forward basis. So in that respect, I think that the fundamentals, as they stand today, considering that the supply of vessels is quite thin, the fundamentals are quite tight and quite positive, I would say.
Omar Nokta: And then maybe just a follow-up. I wanted to ask about the secondhand acquisition you mentioned. You bought the 06 built 6,000 TEU vessel. That looks like it's on contract to Maersk. Is that -- could you maybe talk about kind of the -- how that came about? Was this a direct acquisition from Maersk with a charter back to them? Are there more opportunities like that, do you think in the sale and purchase?
Gregory Zikos: Yes. I think this vessel has been chartered back to Maersk. This is a structure sale and leaseback deal. There may be more opportunities like that in the future. I mean we haven't come across anything that -- something like that, that probably would make sense. And as -- but definitely, there may be. And as you've seen, we have been focusing on all the new buildings for the 3,100 TEU ships, we had concluded 4 previously announced in the Q2 results. We have added 2 more options now. Those are going to be delivered in Q1 '28. On a back-to-back basis, we have pretty much arranged the charter for the first 4 -- sorry, the financing for the first 4, and we are closing the commitment of the financing for the last 2. So which is something that also makes sense. And we are generally active. So either secondhand or even new buildings, assuming that we feel comfortable with the residual value risk of our equity, I think we are -- we will be quite active.
Operator: The next question is from Climent Molins with Value Investors.
Climent Molins: Following up on Omar's question on the first one. Could you talk a bit about whether you believe the recent increase in freight rates is sustainable? It seems it was mostly a function of front running as tensions between the U.S. and China increased, but those have been lowered since. So how do you think about the trade-off of having more visibility versus the front running?
Gregory Zikos: Yes. For the freight rates, I mean, the box rates, this is something that could also be directly addressed to the liners who sort of may have a better visibility. I agree with you that last week and last month, freight rates push has been because of front running, may have to do with the pushback of the port fees, et cetera, rearrangement of schedules of the liner companies. Now to what extent they are sort of medium or long-term sustainable, I cannot comment on that. They are sort of -- because if you look historically at the 3 or 6 months or like 1-year box rates, they have been on a negative trend. But I'm afraid I cannot forecast where box rates are going to be starting from today over the next 3 to 6 months. To some extent, this is something that also liner companies. I think they do have a greater visibility on that.
Climent Molins: Yes, makes sense. No one can really forecast that. And also following up on Omar's second question, it seems the Maersk Puelo is fully committed until next October, but Maersk has options to extend employment until 2031. Could you talk about how likely those are to be exercised given the rate?
Gregory Zikos: Okay. I'm afraid these are charter risk option. So as mentioned, it's up to the charter to have them exercised. So again, I cannot forecast what a third party will be doing. So I think market levels will dictate whether the charter will take those options or not. But on a committed basis, you are right, this is a 1-year charter. And from our side, we have run the numbers to -- so that being conservative, we have been factoring in this 1-year time charter period. After that, it's up to the charter to decide based on its needs, based on market rates, based on the cargo demand to see whether those options one by one are going to be subsequently exercised.
Operator: This concludes our Q&A or question-and-answer session. I would like to turn the conference back over to Gregory Zikos for any closing remarks.
Gregory Zikos: Yes. Thank you for dialing in today and for your interest in Costamare Inc. We are looking forward to speaking with you again during the Q4 and year-end results call. Thank you. Operator, I think we have concluded.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
Gregory Zikos: Thank you.